Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the Health in Tech Second Quarter of 2025 Earnings Conference Call. [Operator Instructions]. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now, I will turn the call over to Lori Babcock, Chief of Staff of the company. Ms. Babcock, please proceed.
Lori Babcock: Thank you, operator, and hello, everyone. Welcome to the Health in Tech's second quarter of 2025 earnings conference call. Joining us today are Mr. Tim Johnson, Chief Executive Officer, Mr. Dustin Plantholt, Chief Growth Officer, and Ms. Julia Chen, Chief Financial Officer. Full details of our results can be found in our earnings press release and in our related Form 10-Q to be filed with the SEC. These documents will be available on our Investor Relations website at healthintech.investorroom.com. As a reminder, today's call is being recorded and a replay will be available on our IR website as well. Before we continue, please note that today's discussion includes forward looking statements made pursuant to the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These statements are based on information available as of today and involve risks, uncertainties and assumptions that could cause actual results to differ materially from those expressed or implied, including those discussed in our quarterly report on Form 10-Q for the period ended June 30, 2025 to be filed with the SEC. Please review the forward-looking and cautionary statements section at the end of our earnings release for various factors that could cause actual results to differ materially from forward-looking statements made during our call today. We undertake no obligation to update and expressly disclaim the obligation to update these forward-looking statements to reflect events or circumstances after the date of this call or to reflect new information or the occurrence of unanticipated events. We may also refer to certain financial measures not in accordance with Generally Accepted Accounting Principles, such as adjusted EBITDA for comparison purpose only. Our GAAP results and reconciliations of GAAP to non-GAAP measures can be found in our earnings release. With that, I now turn the call over to our CEO, Mr. Tim Johnson. Tim?
Tim Johnson: Thank you, Lori. Good afternoon, everyone, and thank you for joining us. I'm incredibly proud to share the results of another truly exceptional quarter for Health in Tech. Our performance in Q2 2025 underscores the power of our strategic vision and the relentless execution of our team. We delivered a remarkable $9.3 million in total revenue for the quarter, an 86% year-over-year increase. This isn't just growth; it's an acceleration that positions us for a monumental year. To put this in perspective, our first half revenues of $17.3 million already represent a staggering 89% of our entire 2024 fiscal year total. We are not only meeting our goals, we are redefining our trajectory. This success is a direct result of our innovative approach to market expansion. We've strategically broadened our distribution network reaching 778 partners, an impressive 87% increase year-over-year. This expansion goes far beyond traditional broker channels. We are actively forging partnerships with cutting-edge third-party administrators, offering technology-driven solutions, forward-thinking regional healthcare benefit providers and service platforms that cater to unique needs of small businesses. This diversified approach is rapidly expanding our market reach and more importantly, delivering exceptional value to our customers. The demand for our differentiated services is evident in the 30% increase in billed enrolled employees now at 24,839. This goes beyond adding numbers. It's just it's about deep adoption across our growing network. Our partners are increasingly leveraging our AI-powered platform to bundle healthcare and insurance seamlessly with their existing services, offering integrated end-to-end solutions that truly empower small business employers. This is the future benefits and we are leading the charge. We've moved beyond just providing services. We are enabling our partners to become comprehensive solution providers. Our platform's ease of implementation intuitive design make it an indispensable tool for our partners seeking efficiency, scalability and significantly competitive edge. With dramatically broader distribution footprint and multiple high-impact new relationships firmly in place, we are pleased with the growth momentum in low sales season. As most businesses change their health insurance in January first quarter, or December fourth quarter, the second quarter and third quarter are typically slow seasons. We are able to make significant strides in the strategic partnership expansion in the TPA broker agencies and large benefit platform companies. In the second quarter, we welcomed multiple large high-profile brokerage firms and TPA regional employer benefit providers and service platforms focusing on serving small businesses. We're able to create some specialized services that save costs for the small businesses through leveraging the distribution partners' significant ecosystem. For example, one of our TPAs, Vertigard, is owned by MedImpact, the largest independent pharmacy benefit manager in the US. MedImpact manages prescription benefits for more than 20 million members, processing $40 billion in annual drug transactions, which benefits our customers by providing lower drug costs. Our enhanced eDiP platform with automated large group underwriting tools is on track to be fully launched in Q3. We're excited to get partners trained as soon as the enhanced platform is developed. In parallel, we are gearing up to develop a few new product offerings that are expected to be beta tested at the end of third quarter. The service offering would be a breakthrough in healthcare insurance market. With strategic partnership expansion, continued technology enhancement and product innovation, we're confident in our ability to maintain a strong growth momentum. Now I'll turn it over to our Chief Growth Officer, Dustin Plantholt, to provide more color on our strategic partnerships. Dustin?
Dustin Plantholt: Thank you. Thank you so much, Tim, and good afternoon, everyone. I really appreciate you being here with us today. I want to speak to you not as a public company executive, but as someone who's been in the field. I was once a broker myself. I've run businesses of my own, so I know what it's like to sit across the table from a business owner who's trying to figure out health insurance without losing their minds or their margin. It's confusing, it's expensive and it hasn't gotten any easier. Let's be honest, a lot of employers are feeling helpless, trapped, like they have to pick the least bad option. No real control, no real choices and that's where we come in. At Health in Tech, we're changing it. Our platform enables brokers to create customized health plans for those employers. Employers are controlling their healthcare plan. The customized health plans are underwritten by our platform in about 2 minutes. We made all these possible through internal proprietary technology and seamless integration of our third-party AI. But let me paint a picture. Imagine helping a small employer design a better health plan, custom fit for their employees. Now imagine that the same plan lowers the cost for the business and lowers the payroll deduction of healthcare costs for their employees. Now imagine it takes about 2 minutes to do that instead of 12 or even 14 days that I saw on the brokerage side. Now imagine not having to imagine any of it, because it's real. It's what we do and we're doing it through the partnerships that have extensive networks and cost saving solutions. Recently, as Tim mentioned, we teamed up with Vertigard administrators, an integrated concierge-level TPA owned by MedImpact, the largest independent pharmacy benefit manager in the U. S. This collaboration is monumental. MedImpact manages prescription benefits for more than 20 million members. That's about $40 billion in annual drug transactions. So partnering with Verdegard allows us to leverage their purchasing power to provide reduced drug prices to our customers. This is about deep integration and scale and unlocking value. We've also partnered this past quarter with Unified Health Plans, a premier TPA recognized for its extensive provider network across Kansas. Unified dominates several niche business sectors and they are laser-focused on controlling cost drivers and improving care quality. And because of that partnership, we've already started bringing on schools as clients this past month. We're also thrilled about our alliance with Hillb Group, one of Insurance Journal's top 25 ranked U.S. insurance brokers with over 2,400 employees across more than 125 locations in all 50 states. We're partnering with Hillb to codevelop and distribute smarter, more transparent, self-funded health benefit solutions to a much broader base of small and midsized employers. And this alignment with a top-tier national broker significantly amplifies our reach and credibility. Bailey Insurance is another one. They're a fourth generation agency established in 1880 with over 200 years of team experience and licensed advisors partnering with multiple carriers. Bailey is a cofounder of Infusion Health. They're also a partner of ours. And they're dedicated to providing better care, better service and tech-enabled solutions. I believe that our collaboration with Bailey will deliver more efficiently. And these partnerships, they're not opportunistic. They're the result of a deliberate strategy from sales and marketing across all of our company's divisions to align with the market leaders who recognize that transformative power only happens when we come together. They underscore our ability to attract and integrate with the most influential players in the healthcare and benefits ecosystem. We're also continuing to develop our relationships with other large insurance brokerages across the country like Marsh McLellan, USI and Gallagher. But what I appreciate most is that they don't all see us as just another vendor. Many of them see us as friends, trusted partners, and together, we're building better solutions for employers and families from coast to coast. Each of these relationships and the hundreds more like them are part of a bigger story, a better way forward. Let's face it, healthcare got too expensive, too complex, too out of reach. We all know it. If nothing changes, nothing changes. So while we can't fix it overnight, we believe that we are making meaningful changes as our platform gives people the right tools, the right partners, the right solutions, tailored plans and a system that is very intuitive, every easy to use. So with that, I'll turn the call over to our Chief Financial Officer, Julia to walk you through the financial details.
Julia Qian: Thanks, Justin. Good afternoon, everyone. I'm delighted to provide you the details of the financial results that underpin the exceptional operational achievement you have just heard from team investing. Our second quarter and the first half-year of 2025 financial performance reflect not only strong execution, but also disciplined financial management that is fundamental to our sustainability and the profitable growth. For the second quarter, total revenue reached $9.3 million, bringing our first half-year revenue to an impressive $17.3 million. As Tim highlighted, this already represents 89% of our entire 2024 revenue total. ‘24 revenue was 19.54 million. So this is a very clear indication our growth momentum continued and effectiveness our strategy expansion and the customer acquisition. Beyond the top line growth, our profitability metrics demonstrate significant positive operating leverage. Adjusted EBITDA for the first quarter was $1.6 million, an outstanding 134% increase year-over-year. For the first half-year, adjusted EBITDA reached $2.8 million which is 1.2x of our entire full year 2024. This growth in adjusted EBITDA demonstrates our ability to scale up and manage our operation cost effectively as we spend. Pretax income for the quarter more than doubled year-over-year to 0.8 million. Our first half-year pretax income was $1.5 million. The entire 2024, we delivered $1.0 million pretax income. So that means the first half-year is about 1.7x of the entire 2024. Critically, our first half-year income represent 8.8% of the revenue. This is nearly 300 basis points improvement year-over-year. This enhances -- this showcases our enhanced ability to maintain the expense discipline and the strategy allocation to the resource that drives both top line expansion and the bottom line profitability. Let me turn to the expenses. Sales and marketing expenses were $1.2 million for the quarter, 13.2% of the revenue, a 6.3% reduction year-over-year. Lease Board and the strategy partnership are adding significant value [without us] to adding huge internal sales force. So we are turning our system to the agencies that has hundreds of thousands of brokers is free for them to use. General admin expenses were $3.8 million for the quarter, 40.5% of the revenue, a 4.2% increase compared to 36.3% in the same period of last year. This is mainly driven by the cost associated with being a public company. For instance, the D and O insurance, BD, border director compensation, legal audit and investor relations or other expenses that amounting to 0.8 million for the quarter, that is about 9% of the revenue. Lease cost wasn't a part of 2024 expenses. That's why actual admin general admin expenses as a cost of revenue is 31.5%, a 4.8% reduction from apple-to-apple comparison perspective. We understand this is a part of the cost of doing business being a public company. Research and development expenses were 6.3% of revenue, a 7.7% reduction from 14% of the revenue in the same period of last year. Thanks to the full deployment and the time spent in the system development stage and the fully use our tax results, which is tend to in the CapEx and the software. We generate $1.5 million positive cash flow from operating activity in the second quarter, and we used .09 million in the tax software development. The total cash flow for all activities was a positive 0.6 million. For the first half-year, the operating cash flow was positive 2 million, and we used the $1.6 million in tax software development. As of the June 30, 2025, the second quarter end, we have 8.1 million in cash. We keep regular discipline in managing the cash flow. We will continue to ensure that accounts receivable days are way below 30 days. The accounts receivable was 1.3 million, a 12% reduction of year-over-year, while revenue growth in the second quarter was 86% growth year-over-year. These reductions, even with faster revenue growth, that demonstrate our diligence and ability to focus on the working capital, manage accounts receivable and the health of the financial operations. In summary, our financial results are a testament to the strength of our business model, the effectiveness of our growth strategy and our unwavering commitment to deliver shareholder value. We're not only just growing, we're growing profitably and sustainably. And we are very well positioned and capitalized to continue this momentum. Thank you. I will now turn back over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Your first question today will come from Allen Klee with Maxim Group LLC.
Alan Klee: Tremendous quarter, congratulations. So my understanding is typically, I mean, you were able to sequentially grow lives and revenues. And so you're really benefiting from all these partnerships. And so I wanted to go through a little of like the new business that's coming in, how you're thinking about where it's coming in from? And do you -- I mean, renewals are usually really -- the big time is January 1, but is it -- do you think that with all the partnerships you have, that can give you momentum before then?
Tim Johnson: Yes, Alan, this is Tim. Thanks for the question. In small group, most of these groups, the opportunities that we are looking at are fully insured. And in the fully insured market, Alan, they can move -- a lot of these people move off of effective dates because they find that our products -- and they have been looking for the flexibility to do anything that they want with their plan basically, and get the right vendors and be really proactive around medical management. So the fully insured group can move off of their effective date at any point, there's no penalty. It's just the way the fully insured products are set up. So we have more sales during the year than you would think because people are moving off their effective dates. And small groups also don't really run their medical plan along with the financial year, the January to January. They just don't do it as often as the larger companies do.
Julia Qian: Yes, Alan, also –
Alan Klee: [Indiscernible].
Julia Qian: Yes, thank you.
Alan Klee: Go ahead.
Julia Qian: Yes, just adding a little bit of color. Also, those are new relationship we start to building. That's why we called out to the few larger relationships, so we start to work with them. And we should be able to see quite a lot of tractions even this during the low season. Obviously, always December, January is a high season, but we are able to build up more momentum now.
Alan Klee: That's great, thank you. For your target of midsize -- moving to the midsize employers, and you're rolling out of AI-backed underwriting platform. How are you thinking about the rollout of the education and how you -- do you target those customers -- those employers like the same way with your partners, or how do you think about that?
Dustin Plantholt: So I think, Tim, you want to take a stab at it, or would you like me to jump in?
Tim Johnson: Yes, go ahead. Go ahead, Dustin.
Dustin Plantholt: Okay. So by the way, you're asking some really great questions and I appreciate you taking this time. As we kind of are going upstream and working with more national agencies or some of the larger brokerage firms, they're starting to really trust us to bring us some of their larger groups to take a look at. So we're noticing an uptick in 1,000-plus life cases. I mean, this past month, we got a request for 14 100-plus life case. We're seeing lots in the 100 range, 200, 300, and I think we're going to see more of that going forward as Health in Tech continually earns the respect and earns the trust of our brokerage partners across the country. So we're not going out actively and marketing to large employers. That isn't something we're doing today. Our broker partners, however, and our TPA partners, that's a market that a number of them are in. So I do see us getting exposed to more and more of those cases and getting an opportunity to work with those corporations.
Tim Johnson: Yes, and --
Julia Qian: Yes, and --
Tim Johnson: -- we continually get asked if we can do what we're doing in a small group, and if we can do that with the large group and what we call probably our [EBU] system, which means these larger groups, Alan, have experienced claims experience that we could work from. So we call that experience-based underwriting, which is the way it's normally done for larger groups that are already self-funded. And this system that we were talking about just a few minutes ago that we're rolling out, it doesn't necessarily change the way you underwrite. It just makes it way more efficient. You turn this process that takes typically a month in a larger group. Now we're doing it within 5 days maybe, maybe shorter. It's just way, way, way more efficient.
Julia Qian: Yes, and as we also announced on the last quarterly earnings call, on the beta test we did on January [Indiscernible] with 1,100 lives, and our system is still on track to be fully launched on the third quarter. Yes, I think it's a huge differentiation. Now that over 1,000 employees’ business, a traditional take about 3 months. It took us about 2 weeks. Now we further enhance that, and the team just mentioned about now we can take about 5 days. So once the system fully deployed, and we will think about that will be the game-changing for the medium-sized employer. Now you don't need to take that much time to do all the manual work, not just the first step of the automation.
Alan Klee: Thank you. I have a lot of questions, but I want to be respectful of anyone else who's on the call. So I'm going to get it back in the queue, and I'm gonna ask questions. If there's no other people for questions, please hit me again so I can follow up on my question.
Julia Qian: Yes, I [Indiscernible]. Yes, we also can catch up after the call, if you have more questions, we can address in more detail. So you don't need to feel be rushed. And if you have other very important questions and may have a similar question other people has, then feel free to ask for it.
Alan Klee: Well, yes, if there's another -- I don't know if there's another person in the call or not. If not, I'll keep talking.
Operator: This is the conference operator. Currently, we have no one else in the queue. [Operator Instructions]. Alan, you can proceed, please.
Alan Klee: Okay. I just wanted to not be a jerk if other people were waiting.
Tim Johnson: Okay, no worries.
Alan Klee: So the partnerships you mentioned that you called out, the three or four, definitely you mentioned how they can make you provide an offering more effectively, lower cost and/or improve health care outcomes. But is it also -- and that's fantastic, but can you also talk about how they can also bring you potentially new employers?
Tim Johnson: Yes, Alan. That's the goal, right? The more distribution, the more opportunities that we have because brokers are assigned to every group. There's very few people going direct. And every broker we bring in, we bring them in because they look at the system and they can -- it immediately shows them just how much more efficient they can be. They don't need to have -- they can have less staff and do more work, it's that much better and then it's the natural progression on to the large group. So they all -- every broker has the small group and the large group, and then they want us to bring them another solution that they can be as efficient on the large group. So some of these partnerships that -- and I'll let Dustin talk about this -- some of these partnerships are pretty large. Some of the names that we're rattling off here, these are the largest brokers in the country. And they have hundreds and thousands of self-funded employer groups in that medium to large group range. And this system that we're talking about, it's really going to benefit them. So Dustin, if you got more to add, go ahead.
Dustin Plantholt: Yes, so regarding our two newest TPA partners from Verdegard to Unified Health Plans, they're bringing us their business as well. I mean, Unified, we had a really phenomenal month with them on the TPA side. So they have a unique niche in supporting schools. So we're able to -- I mean, this month alone in July, we've been writing lots of business with them. It's going to keep getting stronger in that relationship. And Verdegard as well, we picked up our first case with them for July 1. So it's a great question. Our partnerships are going be bringing us business as well. I mean, as Tim just said, the goal is that their distribution, their relationships that they have, will be coming into Health in Tech. And that's typically how it is when we work with TPAs is that we're tapping into a distribution channel that we didn't have access to before. I mean, there may be some overlap at times, but for the most part, they are a trusted partner with a number of brokers, some smaller agencies perhaps, that have been coming to them to be their resource. So we expect to be rolled out in the coming months, even more so to their different broker distribution channels that they have in place.
Alan Klee: Thank you. Sorry, I'm just trying to -- okay. Last quarter, you made the statement that your revenue was split with underwriting fees and program fees with larger employers willing to pay more for enhanced benefits. Could you maybe explain that and what that -- maybe how we could think about that as you do get more larger employers?
Julia Qian: Alan, so the underwriting fee is a percentage of premium. When you have more employees, normally, average premium is a little bit lower and the PPM is a flat fee, and it's based on the choice and what service you choose for and different selection of the service, you have different fees. And then, actually, more employees -- the company with more employees, their average premium is a little bit lower, just your underwriting fee is a little bit lower. But however, they may choose more service they want to care for their employees. That's why the fee can be higher, it's really a mix. So that's -- we often observed our underwriting fee revenues a little bit smaller, but still growing, but not grow as the same pace as the other fees because it just represented the different choices the employee make for the employees.
Alan Klee: That's helpful, thank you. So this -- I mean, you guys are kind of the textbook case of like with operating leverage. I mean, the degree that you're controlling your expenses while your top line is growing is very positive for the bottom line. Does that ability to control the things outside of cost of goods sold, how do you feel about that over time?
Julia Qian: Yes, so over the time, and we believe the investment we did for our organization will continue to expand. However, the expectation is the revenue grow were weighed exceeding the expenses growth, so we will always maintain the positive operating leverage. And we constantly review our internal efficiency, constantly look what is technology can replace the human in our own organization. So we've been very disciplined in the expenses we spend. So far, we have been demonstrating we can really revenue outpace our expenses growth. And there are certain other costs to being public company, we cannot avoid it. However, our revenue momentum so strong, it just become non-event for us. Allen Klee: Thank you. You had a business line in the past, HiCard, and I've read in one of your financials, I don't remember which quarter, but you said you were thinking about maybe rolling that out in 2026 back again. Is that something you're thinking of?
Tim Johnson: Hi, this is Tim –
Julia Qian: Yes, I -- sorry, Tim, go ahead. You go ahead.
Tim Johnson: Yes, Alan, we've had an opportunity approach us a while back, and through lots of conversations and internally and externally, that process and the timeline to implement HiCard and do some different things with HiCard now, and it’s has really picked up pace. So that will probably -- a part of that will be done in August to try to hit some timelines that we're working on, and then fully done before the end of the year. So the speed with which that has to come to fruition to make sure that we get this program and this project built for a very specific person and our program has to happen sooner.
Julia Qian: Yes, Alan, you need –
Alan Klee: I turned –
Julia Qian: You will not see the revenue until next year first quarter –
Alan Klee: Yes.
Julia Qian: because we come back to looking at the prioritize the projects. So yes, what Tim mentioned about we come back, they have large opportunity, but we need to put our tech resource behind that. And then by the time you will see revenue on the high comp, probably the Q1 next year.
Alan Klee: Okay, great. And, Tim, I listened to a podcast you were on where – oh, gosh, I can't find exactly what you said. But you said some things that they -- some potentials of other insurance you could potentially expand into. And then you also [teased] on this -- I don't see where I wrote it there. You said also how you might have some other new products you’d roll out this year. I guess you don't want to talk about what they are now, but is there anything you could provide thinking about it, or should I just wait?
Tim Johnson: Yes, well, one of them was the program I was just talking or referring to. We were fortunate enough to partner with some really significant people on building this, and Julie and I spent a lot of time looking at it to see what's the ROI and how much is it going to cost us to build. It's a very big opportunity for us and that one will be put together very quickly, because we have to meet in a certain timeframe, so that will be one of them. We have a couple others that are very close, and I'd hate to say anything about it because I’d jinx myself. And I'm probably not supposed to anyway, but we will definitely talk about them on the next earnings call if I get over the hump with the –
Alan Klee: Okay.
Julia Qian: Yes, I like to keep eyes on our press release and there are a few large services of product very close to the finish line. Once we get there, we obviously will announce to the market. For now, we want the market know the opportunity we're working on. As the tech company, we always looking at the next product opportunity. As you know, it takes about 6 months to get a new product just like we talked about the last year, we started a large group underwriting. Now we almost get it done in Q3. So this is always the cadence and we move on the next project. We're working on that. And by the time we can be beta test, we let the market know, and they should expect us to fully deploy the various initiative we do. So just keep eyes on our press release.
Alan Klee: All right, I will. Okay. Well, congratulations. You significantly beat my estimates on revenue and bottom line. And given the run rate, your numbers are pretty likely going to be way higher than where I was. So congratulations, you did a great job.
Tim Johnson: Thank you.
Julia Qian: Thank you. We like a happy surprise.
Operator: [M Marin] with Zacks.
M Marin: Hi, this is M Marin with Zacks. So you did a lot of work in the second quarter, added some new partners. It sounds like, in addition to adding new partners, you're also looking to sort of deepen your penetration with both existing and new partners. Is that the right way to think about this as you continue to look at expanding your product suite?
Tim Johnson: Dustin, you want to take that one?
Dustin Plantholt: Yes, I'd love to jump into it. So in addition to overseeing sales, I also oversee the marketing side, as well as customer experience or customer service. So we're always looking for new ways to support our distribution partners. On the tech side, that's always a great area to dig into, or if it comes into claims management to figure out how we can do it better, how we can be more efficient. But your question of -- or I think the statement of your tapping into is absolutely, we're nurturing these relationships. We're not looking for mercenaries. I think what's for me, at least, one of the more interesting things coming on board since March is that some of these relationships that aren't a good fit, Tim will say not a good fit for us and here's why. We're looking for people that are looking to be in the industry for many years, help us to continue to control costs across the board, and then pass that savings on to these employers and ultimately, to their employees from a payroll deduction side. I mean, being able to come in, especially because we're competing many times against VUCA, while we might be utilizing or our TPA partners might be embedding their networks of physicians, we're going after business that might already be with Blue Cross or UnitedHealthcare or Cigna or Aetna. And we're -- coming in, our goal, number one, is to be able to provide a platform to allow our distribution partners the ability to build a health plan that's the right fit for that employer. And some of our broker partners -- and Tim, you can jump on this as well -- some of them have some really great arrows in their quiver that they say to us, hey, would you allow us to use a solution we have on the wellness side? And I know, Tim, you're very big on the future of wearable technology. So we see ourselves just getting better, and we pivot as needed. Our customers ultimately are going to tell us what they want and we're here to listen to them, not to be knowers, but to be learners.
Tim Johnson: Yes, and if I could just real quickly, Tim, the part that we're talking about when we say we're saving our clients’ money, a lot of this is just due to the fact that they didn't know what they didn't know before. And since everything we do is transparent, they're now able to see the data and react to the data in real time, whereas before, they never had access to it. So that's a very big way that you can control your cost that way.
M Marin: So drilling down a little bit on that, in terms of your ability to pivot in reaction to some change that they have seen, or something that they have seen that makes them realize, oh, I should tweak this, how quickly can you respond to some of -- to their needs? Obviously, I am sure it will -- the answer differs depending upon the complexity of whatever the tweak might be. But how quickly generally do you think you can respond?
Dustin Plantholt: So Tim, I think you should talk about -- and let's talk about networks. Would you talk about that, Tim, and some of our broker partners or TPA partners, some of the narrow –
Julia Qian: Let me address that question, and Dustin. So she's asking how fast do we respond, and that's the power for our AI-backed platform, right? So if you look at the small group underwriting, it's about 2 minutes. So you have various option choice and the presenting about the 2 minutes, and the broker can discuss with the employers and can finish the plan. And we also move to provide that solution to the employer with more employees, like over several hundred, and a thousand. That's about 5 days to 2 weeks. So the speed to market not only just now the plans have a better cost-saving feature, but we are able to get that down quickly through the automation, through the AI. You can think about everything is bundled together as one ecosystem.
M Marin: Okay, got it. And is it right to think about it as we've seen a lot of growth over the past few months, but that really, the penetration at this point that you've achieved is still low enough to think that there's a large market opportunity still out there for you?
Julia Qian: Yes, it's relatively low, right? Think about small [Indiscernible] 60 million people work for the small business. Let's say, maybe the entire market is about a trillion, so we hardly did 24,000, that's still running up 25,000. It's less than 0.001%. So the market is huge and we -- it could really force to be there to be disruptive and provide the different option for the small business.
M Marin: Got it. And then last question, this is really not specific to the company right now, but sort of drawing on your experience within the overall industry. Would you say that this particular time within the general healthcare insurance market is characterized by a greater sense of uncertainty and potential changes than you've seen in this recent past?
Julia Qian: Well, yes, I would start, and then I will have the team to give more detailed explanation. So yes, so this is a lot of uncertainty. It's a huge opportunity for us, in fact, right? So it's a lot of changes, whether it's a big beautiful deal, and whether it's other things and happening in the market, we all get all the news. It's a great timing for us to provide alternatives, provide different solution to address the big elephant in the room, and to change how the healthcare to give people the choice and options. And I think, Tim, you can explain a little bit more detail and so she could get some idea.
Tim Johnson: Yes, I mean, if you read the kind of periodicals that are out there about what the ACA carriers just said that they want to put out as rate increases, most of them are over 26%; some of them are in the 30s by state of course. That's ridiculous. That is something you cannot sustain. That is a very big problem, and you put that along with what -- we just had an administration change, and their view on it is dramatically different than the people before them. This is the time for us to come in when this confusion is going on to try to create some help and some certainty with what we can do. We help bring some answers for those people who are looking for them.
M Marin: Okay. That makes sense. Thank you very much.
Operator: Thank you. Seeing no more questions in the queue, let me turn the call back to Mr. Johnson for any closing remarks.
Tim Johnson: Thank you, operator. I appreciate everyone joining the call today. If anyone has any follow-up questions, please do not hesitate to reach out to us. We love to talk to people about what we're doing. We appreciate your interest and look forward to keeping the dialogue open. Thanks, everybody.
Operator: Thank you all again. This will conclude the call. You may now disconnect.